Antonino Ottaviano: Good morning, and thanks for joining us at Liontown September Quarter Results. My name is Tony Ottaviano. Joining me today is Ryan Hair, our Chief Operating Officer; Graeme Pettit, our Interim CFO; and Grant Donald, our Chief Commercial Officer. So if we can move to Slide 1, please. It's the typical disclaimer and then we move to our highlights slide. I'd like to provide some context today. This quarter was one of execution and we delivered exactly what we said we would. We advanced the underground ramp-up on schedule, maintained a strong and consistent plant performance and strengthened our balance sheet more than $420 million of cash following the August capital raise and also the restructuring of our debt facility with Ford. Importantly, this quarter represents the low point in our planned transition year, and it sets out the improvement story that unfolds from here. The plan is clear and unchanged. We continue to wrap up the underground production towards a 1.5 million tonnes per annum by March 2026, lift recoveries towards our target 70%, and once we process the cleaner underground ore becomes the dominant mill feed and drive costs down progressively each quarter as we fleet the open pit and move to full underground operations at the desired steady state run rate. So the key messages for investors today are: first, execution and delivery. We achieved every operational milestone to plan. During the quarter, we executed the scheduled maintenance, as we highlighted in the previous results. We're executing our OSP strategy to manage our contact tools, achieved a 105% increase in underground production, reaching our 1 million tonne per annum rate by September. We also advanced the open pit towards completion, with the final clean ore bench reached in September and full completion planned for December quarter as stated. These outcomes demonstrate once again the strong delivery against plan and the continued validation of both the ore body and the process flow sheet. Second, our financial strength. Our balance sheet is in excellent shape, providing full flexibility through our transition year. We closed the quarter with $420 million in cash, as I mentioned just earlier, supported by successful $316 million equity raise, and the Ford facility amendment to help us with the debt repayments in the course of the next 12 months. Thirdly, our operational leverage ahead each quarter from here improves the benefit as we get scale and defray our operating costs, but also our all quality improves. With the underground volumes ramping up, open pit completion imminent and recovery uplift underway, production growth, recovery strengthens and cash generation accelerates. The operational leverage is built on visible -- it is visible in the trajectory ahead. Finally, the long-term fundamentals. Lithium demand remains robust, underpinned by strong EV and the accelerating expansion of the battery -- sorry, the stationary batteries. Liontown's high-quality asset, Tier 1 partners and the fortified balance sheet helps us capture the full benefit as the market turns. So in summary, the context of today's results, disciplined execution through the trough, a clear path of improving margins and cash flow, and a business built on sustainable performance. I'll now move to the next slide, please, which is our highlights. The production for the quarter was 87,000 tonnes at a weighted average grade of 5%, and this is in line with us processing the contaminated by the contract ore being the OSP. Contract sales were 77,000 tonnes. Concentrate on hand is 20,000 or nearly 21,000. Our recovery was the 59%, again, as planned, and this will improve as we get the better quality ore. And plant availability, notwithstanding the planned shutdown, of 92%. On the financial side, I've already mentioned the cash imbalance. The revenue was $68 million, but it was impacted by the lower sales due to port congestion in September and the backward looking and we'll talk about this a little bit later in the presentation. Our realized price on a nausea basis plus our unit operating costs were exactly as planned, given that we had lower recoveries due to the OSP stockpiles. If we move to the next slide. I'll now move on to -- and introduce Ryan here, who will go through the slide for us.
Ryan Hair: Yes. Thanks, Tony. So safety, our lost time into frequency rate, roughly in line with the previous quarter. The total recordable injury frequency rates up slightly on the last quarter. And as we've noted in the lead end of this slide, we are focused very heavily at the moment on a back to basic safety drive both on physical and mental well-being. Importantly, our leading indicator safety observations are still in line with our previous quarter, which is in line with our plans. And on ESG, renewable power average of 79% for the quarter. And notably, in September, peaked at 83%. And female workforce participation slightly at 23%. If we can move to the next slide. So now talking to operational performance and starting with open pit. So performance remains strong in the open pit and continued to deliver to plan. We mined 292,000 tonnes of ore at 1.3% lithia, which is 77% up on last quarter. The final clean ore zone was reached in September, and completion remains on schedule for the end of the calendar year. Focus this quarter is on completion of the pit in preparation to contractor demobilization as we transition into full underground operation, which we'll now turn to the next slide on underground. So the underground operation, we continue to perform exceptionally well here, and it does remain one of the most important indicators of our progress towards steady-state operation. During the quarter, all mined just over double to 225,000 tonnes, reaching a 1 million tonne per annum run rate in September, which is in line with plan. The pace fill and primary vent systems are now fully commissioned and performing to design, supporting delivery of the plan and improving operational efficiency. The ordering, power reticulation of materials handling infrastructure are working well, providing strong operating reliability across all levels in the mine. We've mobilized a third jumbo and a fourth production drill, which increases development and production capacity and supports continued ramp-up towards 1.5 million tonnes per annum by Q3 FY '26. The orebody continues to perform well against expectations. Volumes and grades are reconciled closely with the mine plan. fragmentation, overbreak and dilution remain well within design parameters. A total of just over 1,800 meters of development was completed for the quarter, up 8% on the prior period. To date, 18 stopes have been mined including 14 in the September quarter with an average stope size circa 15,000 tonnes. Work fronts are expanding across multiple levels, providing flexibility as we scale up production. Our key priorities now are to optimize stope turnover, continuing to increase the rate of development and refine pace fill scheduling to sustain continuous production. In short, the underground is behaving exactly as designed. Infrastructures in place, performance is consistent and the pathway to 1.5 million tonne per hour and beyond is clear and achievable. So now I'll move to the next slide on the process plant. So the plant continued to perform well and most importantly, exactly in line with the plan we outlined earlier this year with lower recoveries in production when seeding OSP material or our contact material during the early underground transition. We said we'd take this approach to manage all feed during the ramp-up phase, and it's exactly what we did. Plant reliability remains strong with 580,000 tonnes processed at 92% availability. Recoveries behaved as expected with a range of 5% Lithia processed during the quarter, averaging 59% with the recovery, reducing a 5% lithium concentrate meeting all customer specifications. This confirms the plan is performing reliably and to expectations. The current recovery is simply a reflection of the range of fleet types processed this quarter. The transition to cleaner underground ore is underway, and as that proportion increases through FY '26, recoveries were lift progressively. Our FY '26 recovery target remains unchanged with around 70% recovery expected by March 2026 as underground ore becomes the dominant feed. At the same time, recovery improvement initiatives continue to advance. The tails regrind Vertimill has been commissioned and optimization work is ongoing across grind size, reagent dosing and water quality to support incremental recovery gains. In short, the plant is running to design recovery curve is following the planned trajectory and the improvement from here is baked into our guidance. And with that, I'll hand over to Graeme.
Graeme Pettit: Thank you, Ryan. Next slide, please. All right. Our results for the quarter were consistent with company expectations, reflecting the planned impacts of maintenance and OSP strategy foreshadowed in the previous quarter presentation. Revenue was $68 million, down 29% quarter-on-quarter as a result of lower shipping volumes over due to port congestion and backward-looking pricing mechanisms. Backward-looking pricing for shipments during this quarter resulted in pricing lowers of May and June impacting realized prices for the majority of the quarter. But a closing cash balance of $420 million, but we can look at in more detail on the following slide. Unit operating costs increased 22% from the prior quarter to $1,093 per dry metric tonne sold due to the drawdown of OSP stockpiles. This increase in unit operating costs was anticipated in form part of our full year guidance. What you'll see going forward is that unit costs will trend lower as volumes ramp up and clean underground ore becomes the dominant part fee. All-in sustaining costs increased 10% from last quarter to $1,154 per tonne reflecting the higher unit operating costs. This was partly offset by lower sustaining capital spend. As with unit operating costs expect to see the trend lower through the year. Next slide, please. Our tax position strengthened significantly, finished the quarter at $420 million with 21,000 tonnes of salable concentrate on hand. This excludes $20 million of the Zenith cashback guarantee, which we anticipate to receive in the coming quarters. Cash flow operating activities for the quarter was a negative $44 million and was mainly attributable to a $53 million reduction in cash receipts from customers compared to June's quarter. cash receipts were impacted by lower sales volumes and working capital movements, including an increase in the value of trade receivables and concentrates on hand. Additionally, final pricing adjustments from the prior quarter sales of $8 million further reduced cash receipts. Capital expenditure of $44 million was primarily underground development and the completion of TSF construction. Given the completion of the TSF construction and the completion of open pit mining in the December quarter, you should expect to see capital expenditure reduce in the coming quarters. Finally, on financing cash flows, inflows of $363 million represents the net proceeds of the August capital raise. The closing cash balance was also supported by the deferral of the commencement of principal and interest payments under the Ford facility, which has now been deferred for 12 months. Overall, we have a strong liquidity position and expect to see improved quarterly cash performance that will ramp up the underground and increased production volumes. Next slide, please. right. So our debt profile remains low cost, long dated and highly flexible. This slide is an update of our debt position following the Ford amendment completed in August. The effect of the amendment has pushed the first repayment under this facility out to September 2026. Looking at the maturity profile. Again, it's important to note that while the LG Energy Solution convertible notes are shown in the maturity schedule as a repayment of $414 million. cash repayment can only occur if the facility is not converted into equity before the maturity date of July 2029. Subsequent to the recent equity raise, the conversion price of the LG notes has been amended from $1.80 to $1.62 per share. And in summary, our debt structure provides a very low cost of capital with no near-term maturities, and this allows us to continue to focus on delivering the ramp-up of the underground mine and deliver the full potential of Kathleen Valley. I'll now pass to Tony.
Antonino Ottaviano: Thanks, Graeme. So if we move to the next slide, please. We've actually -- when we announced our forward debt restructuring and contract arrangements, we did make some mention around our volume profile going into the future. We've just simply graph this for the market now so that you can see it visually. So there's no new information here, but it just provides a little bit of extra clarity on the contract profile for tonnes. And we are delivering into some of these already. So that's really what this slide is designed to provide. So if we move to the next one, please. Business optimization. Last year, we made $112 million worth of savings, either directly in recurring or some deferred capital. That pursuit becomes relentless. We need to continue with the business optimization because price is still where it is, and we can't lose sight of that fact. And this next exercise, this next phase is going to be a broad engagement and assessment of priorities across everything. So there will be team-led initiatives. There will be a challenge in everything we do, as I said in the slide, that we will challenge the status quo, and we will focus on our purchasing and contracts. So we will -- we've already said this, and we will continue to optimize our cost structure in the current environment. So next one, please. So I'm now back on to Ryan for this last -- next slide.
Ryan Hair: Yes. Thanks, Tony. So this slide, which I think we've presented a couple of times now, recaps how FY '26 is unfolding quarter-by-quarter. In quarter 1, we deliberately executed planned maintenance activities and early technical improvements while implementing the OSP feed strategy to manage transitional ore during this ramp-up phase. That strategy delivered exactly as guided, lower production and recoveries were expected, and those outcomes were fully reflected in our prior guidance. Moving into Q2 this quarter. The focus shifts to completing open bit mining and increasing the proportion of clean underground into the plant. Recoveries are already improving month-on-month and as underground volumes continue to ramp up, throughput and grade consistency will lift. We also expect operating costs to trend lower as we shut down the open pit operation and those costs fall away and we get productivities through increasing the scale of the underground operation. By Q4, in the June quarter, we transitioned fully into steady-state operations. The process plant will be operated in design throughput. Recoveries will stabilize at or above 70% and costs were materially lower than in the first half. That's the point where the business begins to demonstrate sustained cash flow and margin that underpins our long-term investment case. So while Q1 represented the planned low point, every subsequent quarter and first year, higher underground production, stronger recoveries, lower costs and greater cash generation, all consistent with the plan we set out at the start of the year. So next slide, please. So recap on our FY '26 guidance. FY '26 remains a transition with the open pit operations, as we've already mentioned, will conclude in December and the underground ramping up. In the first half, we continue to leverage the investment already made in the rod stockpiles processing the remaining OSP material, which we have always said would be temporarily impact recoveries and production and therefore, outline. As we move into Q2, production and recovery performance are expected to improve as the proportion of clean ore in the mill feed increases and the influence of OSP material declines. This uplift will be driven by higher clean oil production from the open pit and the growing contribution from the underground. Sustaining capital remains on plan, focused on underground development, maintenance and equipment replacement to support the ramp-up. Importantly, there is no change to our recovery target of around 70% by Q3 FY '26, and we remain on track for 100% underground production by Q3 FY '26. So in summary, the transition is unfolding exactly as we planned with Q2 marking the start of a steady state improvement across production and recoveries. We now move to the next slide, please, and I'll ask Grant to lead us through that.
Grant Donald: Thanks, Tony. I think it's important to highlight that there are 2 fundamental growth factors driving lithium demand. The first is EV sales and the second is factory energy stationary storage. I'll start with EV demand. As you can see here from the chart on the left, EV sales continue apace. Global sales grew 26% year-on-year from January September. Importantly, September results of the first month we've seen more than 2 million EV sales in a single month. This translated so far this year into over 3 million extra EVs sold versus 2024. And as you can see on the chart on the right-hand side, expectations are for that to continue with a very solid CAGR growth rate of 14% according to Bloomberg New Energy Finance. I think importantly, it's also very interesting to see the growth of the rest of the world. that continues to grow at very, very aggressive rates off a small base. But we are probably about a quarter away from Rest of World sales equally in total North American sales. And one of the points highlighted to me by Homburg just yesterday was that EV sales in China now exceed total auto sales in North America. If we go on to the next slide. battery energy storage systems have really come from nowhere and been a strong driver of demand in the last year plus. I think for the last 2 or 3 years, they have exceeded expectations from forecasters. What this slide is demonstrating is that not only is it accounting for 1 unit and every 4 units of growth over the next 5 years. There are also a wide range of views on how fast this market is going. You can see in the chart on the right there from SC Insights that there's a large spread between the investment bank on the left insights in the middle and CATL's prospectus on the right-hand side. I think it's important to note the spread between the high and the low point is over 765 tonnes of lithium carbon equivalent, and that is around half of the total size of volatile market today. Large-scale grid investments are continuing to accelerate, and these are driven by the rise of data centers to support the shift towards as well as making sure that grids remain reliable with a larger share of renewable power penetration. And with that, I'll hand back to Tony.
Antonino Ottaviano: Thank you, Grant. So we don't go to our final slide, please. We end where we started. So we continue to deliver on our strategy. I won't repeat things but effectively, we're executing the plan. We're delivering on the underground ramp up. The compete well comfortable conclusion at the end of the year as we planned. And we've strengthened our balance sheet both with the equity raise in August, but also restructuring the Ford debt facility to give us that further strengthening of that balance sheet in the next 12 months as we see the market recovery. So with that, I'll open it up for Q&A.
Operator: [Operator Instructions] Our first question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: First one for me just on realized pricing. You called out the impact of the pricing lag through the contract in the quarter impacting that realized price. Now that you've recut some of those offtake agreements after September 30, does that mean that we shouldn't expect to catch up on the pricing balance we saw through the September quarter now if you just realize closer to spot spodumene prices?
Antonino Ottaviano: Go ahead, Grant.
Grant Donald: Thanks, Hugo. I think anytime you've got a large delta from as we saw in May and June, which was the lowest of the year in the 600s versus where we're trading now in the 900s. You have this impact, and it's just a question of when that impact flows through your revenue line. With Q lagging, it just means it's a little bit delayed. So if you go back to last quarter, we actually had the benefit of that where we outperformed index. So we had a 105% realization compared to Fastmarkets spodumene index in the last quarter. Unfortunately, you have to pay the piper and that came through the sales this quarter. So look, I don't think you're going to necessarily completely avoid any of those impacts because those kind of QP impacts are always there in your portfolio of contracts. And I don't think you should necessarily think that we did a onetime switch where we moved Q lag and we skip out the impact of that in the future. So that's not the case.
Hugo Nicolaci: And then maybe just on the cost breakdown. Can you just give a bit more color in terms of maybe on a cash basis, the magnitude of spend, let's say, the open pit underground in the quarter?
Antonino Ottaviano: Go ahead, Graeme.
Graeme Pettit: So during the quarter, they were roughly even Hugo's, so between $10 million and $15 million per month.
Operator: Our next question is from Adam Baker from Macquarie.
Adam Baker: Port congestion was called out as an issue, which contributed to the delayed shipment during the quarter. Is this something that you're still seeing? And could this resurface during the December quarter?
Antonino Ottaviano: Adam, the Geraldton Port has an issue they call surge. And as a result, during the quarter, we had a number of surge events which then built up the number of ships on lean. So we have to weigh our turn in the queue for those ships to come in and be loaded. Now the government is putting money in to resolve this issue in the Jordan port. But I think we potentially will see the back of it in the next quarter, but it's really what nature puts in.
Grant Donald: Yes. Adam, just for further context, it's Grant here. It's a bit seasonal. So that last quarter tends to be the seasonal high spot where you see more swell events in surge events in Geraldton. And it did perform quite a lot of queuing and we weren't the only ones impacted. In fact, everyone who ships out of the part that we ship all was impacted. And I'd say that going forward, we shouldn't expect that. But there's always quarter-end chase that's on where everyone is trying to get shipment away before the quarter end, and that would continue. So this one was particularly bad just because of those surge events.
Adam Baker: Okay. And just secondly, spodumene concentrate grades 5% for the sales in the September quarter. Just wondering is this a proactive decision that was taken by the team? Or was this just a flow-through as a result of the higher propane Gabbro going through the mill? And I'm just wondering what the time line would be to get that concentrate back to 5.2%.
Antonino Ottaviano: Yes. I think your summary is correct, Adam. It is the latter, which is it's a result of the high gabbro percentage, which we showed in the graph. So we expect that to unwind in the next 2, 3 quarters once we get into 100% underground mill feed -- underground ore for the mill.
Operator: The next question is from Levi Spry from UBS.
Levi Spry: Yes. So maybe just following up on that. So I mean, this quarter, could it be a bit lower than 5%? And just confirming your guidance is at 5.2% in terms of lithium units?
Antonino Ottaviano: Yes. So firstly, the latter, our guidance is confirmed at 5.2%. As I said, once we get into more the dominant seed being underground we will see that improve. And sorry, your first part of your question?
Levi Spry: Could it go lower in the short term, I guess? What that offset the basis previously?
Antonino Ottaviano: Yes. No, we don't anticipate it going lower in the foreseeable future. Our contracts specify a certain amount. So we're conforming to our contracts.
Graeme Pettit: So just a little bit more color, sorry. The chart that we included on the process plant, we were endeavoring to then provide a little bit of color on gabbro. We will to try and maximize recovery and still keep within customer specs is great will naturally kind of trend a little bit lower. And what you'll also see on that chart is with the lower gabbro content, grade naturally drips up. So as we stated as the -- both the amount of OSP material, but also the amount of open pit starts to fall away and we get the clear higher-grade material out of the underground naturally gray order to, which is why we are maintaining guidance on both recovery and grade through the course of FY '26 and beyond.
Antonino Ottaviano: Yes, and it's a blending exercise so there is an exclusion where it does drop. We will blend it with higher-grade material when we do have those better days. So that's -- it's all about managing it within the contractor specifications.
Levi Spry: Yes. Okay. And just on the price piece, just as we're seeing spodumene prices improve here, can you just help us with how we're modeling that now? So I think you -- one of the previous questions was pointing to it. But just in terms of you repricing your resetting your contracts, how do we think about now the read-through on this grade concentrate to the spot price effectively?
Grant Donald: Sure, it's Grant here. Look, the pricing reference is all disclosed, right? So now we've got 1 contract on Sports mean index. On contract continues to be on carbonate at least until the end of '26 when that deal expires. And then the other contract is on hydroxide.
Operator: The next question is from Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Just a couple of quick ones. Firstly, you talked about the cost program under Phase II. Do you have any thoughts on the quantum that could yield or is it too early?
Antonino Ottaviano: It is a bit too early. We're just -- we've kicked it off in the last quarter. We're still trying to assemble all the initiatives. So I can't give you a finger just now.
Glyn Lawcock: Okay. No worries. Any orders of magnitude you think similar like half of last year?
Antonino Ottaviano: It's still too early, Glyn. It will come out.
Glyn Lawcock: Fair enough. Okay. And then maybe just -- I know it's very early days in the markets where it is, but it may be starting to show some signs of turn on the back of EFS, et cetera. But the 4 million tonne case, the expanded option, it says in the report you're still doing a little bit of studies towards it. Maybe just an update on where you are on that timing costs associated if you do -- if the market turns enough, you to exercise that option?
Antonino Ottaviano: Well, the way it works and the way we're thinking about it is as we get more real-time operational understanding of our plant, we want to make sure that the expansion option is up to date with those learnings. So there's work that's always ongoing as to how do we -- how does that process flow sheet look like as we get more information from the existing operation. So that's one aspect of it. And the second one is, well, I think until we see a sustained improvement in the market, the Board will be live to this option, but it won't be a commitment yet.
Operator: We next have a text question from a private investor who asks, what do Canmax look to benefit from the recent capital raise investment?
Antonino Ottaviano: I think we've already made some very good money given that everyone who supported us on the raise at $0.73 is now looking at a share price of over $1. So [ Mr. P ], he came to site and was impressed by the operations that we do, and he wanted to invest all of its financial investment.
Operator: Another text question from a private investor who asks, is there any clarity regarding the large tenants recently peaked near Sandstone?
Antonino Ottaviano: It's an ongoing process. As we look at our long term, as part of that previous question around future expansion, we want to secure access to good water sources -- so we continually look more broadly as to where we can potentially look for the future long-term expansion requirements for water and other infrastructure. So that's part of that process.
Operator: Another text question. In your lithium demand forecast chart, which of the best BESS growth scenarios have you assumed?
Antonino Ottaviano: Thanks for the question. Look, with any company, I'm always wary of single point expectations or forecasts we look at a range of scenarios. You can imagine that in our forward planning, we're thinking about what would the world look like at the low end and what would the world look like at the top end, and we try and make sure that the decisions we make are robust against either scenario.
Operator: Another question from a private investor. Did you have an update on downstream feasibility studies with LG Energy Solution and Sumitomo?
Antonino Ottaviano: Yes. We continue to press work with both Sumitomo and LG Energy Solutions on the potential to pull downstream. I think it's no secret that some of our peers are having challenges in that space. The capital involved is significant. And in the current market environment, margins are squeezed. So for us, we continue to do the work to be option ready, but it's not something that we plan to make a decision on in the near term.
Operator: Thank you. That's all the questions we have today. Please reach out to the Liontown team if you have any follow-up questions. We thank you all for your time, and have a great day. You may now log out.